Operator: Hello, and welcome to Coca-Cola FEMSA's Fourth Quarter 2024 Conference Call. My name is Melissa, and I will be your coordinator for today's event. Please note this conference is being recorded. [Operator Instructions] I'll now turn the call over to Jorge Collazo, Director of Investor Relations. Please go ahead.
Jorge Alejandro Pereda: Thank you, Melissa. Good morning, everyone. Welcome to this webcast and conference call to review our fourth quarter and full year 2024 results. Joining me this morning are Ian Craig, our Chief Executive Officer; Gerardo Cruz, our Chief Financial Officer; and the rest of the Investor Relations team. As usual, after prepared remarks, we will open the call for Q&A. Before we proceed, please allow me to remind all participants that this conference call may include forward-looking statements and should be considered as good faith estimates made by the company. These forward-looking statements reflect management's expectations and are based upon currently available data. The actual results are subject to future events and uncertainties that can materially impact the company's performance. For more details, please refer to the disclaimer in the earnings release that went out this morning. Now let me turn the call over to our CEO to begin our presentation. Ian, please go ahead.
Ian Marcel Craig García: Thank you, Jorge.  Good morning, everyone. Thank you for joining us today. 2024 marked the second chapter of our transformation and another positive year for Coca-Cola FEMSA. Our full year results reflect progress in the implementation of our sustainable long-term growth model, coupled with our ability to navigate external headwinds in the form of challenging macro environment, and extreme weather events, including impacts to our infrastructure, such as the temporary closure of our plant in Porto Alegre. I am encouraged that we continue cementing the growth of our core business by expanding our customer base and by working together with our partners at the Coca-Cola Company on powerful marketing campaigns and on relentless commercial execution across our markets. In digital, we took Juntos+ to the next level with the deployment of advanced AI capabilities. We finished the year with 1.3 million monthly active users. This means that 60% of our customer base are monthly active buyers, up from 4% from September -- up 4% from September. Additionally, we multiplied the number of enrolled clients in Premia Juntos Plus, our loyalty program by more than 4x during 2024. We went from 250,000 in January to more than 1.1 million by year-end. Notably, we're also digitizing our sales force as we successfully developed the Juntos+ Advisor tool in Brazil, which will be a great enabler for our sales team. Although there is still more to be done, our technical and supply chain team made remarkable progress in removing infrastructure bottlenecks to capture the growth opportunities that are ahead of us. As part of our agenda for today's call, I will begin by summarizing our consolidated results for the fourth quarter. Then, I will expand on key developments across our markets and finish with a few comments regarding 2025. Before opening the call for questions, I will hand over the call to Jerry, who will walk you through our division's performance and provide you with an update on CapEx and savings achieved for 2024 as well as our plans for 2025. Moving on to the summary of fourth quarter results. Volume grew 2.2% year-on-year, reaching 1.08 billion unit cases. This increase was driven by growth across most of our operations and the slight volume decline in Colombia. Total revenues for the quarter grew 14.3%, reaching MXN 75.5 billion, driven mainly by our revenue management initiatives and favorable currency translation effects from most of our operating currencies into Mexican pesos. On a currency-neutral basis, our total revenues increased 13%. Gross profit increased 17.1% to MXN 35.7 billion, leading to a margin expansion of 120 basis points to 47.3%. This increase was driven mainly by our top line growth, favorable mix, easing sweetener and PET costs and the favorable effect of hedges. These factors were partially offset by higher fixed costs, such as maintenance and the depreciation of most of our operating currencies as compared with the U.S.  dollar. Our operating income increased 25% to MXN 12.1 billion, with operating margin expanding 140 basis points to reach 16%. Operating margin expansion was driven by top line growth effects and cost and expected efficiencies across our operations. We were able to mitigate margin pressures related to higher operating expenses, such as labor, freight, maintenance and an operating foreign exchange loss that was driven by the depreciation of most of our operating currencies as compared with the U.S.  dollar. It is important to mention that our operating income includes extraordinary unfavorable effects, driven by asset write-offs and expenses related to purchases of finished products, site cleaning and removal of debris related to the impact of Hurricane John in Guerrero and the flooding in Rio Grande do Sul. This effect was partially offset by the recognition of insurance claims in both Mexico and Brazil. As such, the net impact at our operating income level is an unfavorable expense of MXN 730 million. Adjusted EBITDA for the quarter increased 22.5% to reach MXN 16.1 billion and adjusted EBITDA margin expanded 140 basis points to reach 21.3%. Finally, our majority net income increased 35.1% to reach MXN 7.3 billion, this increase was driven mainly by operating income growth, coupled with a decrease in our comprehensive financial results that Jerry will explain later. Now, moving on to our full year 2024 results. Volume growth met our expectations for the year, increasing 4.4% to reach 4.2 billion unit cases. Our full year top line increased 14.2% to reach MXN 279.8 billion. Notably, our operating income increased a solid 17.4% year-on-year to surpass MXN 40.1 billion for an operating margin of 14.3%, the highest for Coca-Cola FEMSA since 2015. Moreover, we invested a record CapEx of MXN 25.3 billion, representing 9% of our total revenues with investments that will enable us to add the necessary capacity to support our long-term growth ambitions. Now expanding into our operations highlights for the fourth quarter. In Mexico, our volumes increased 0.8% year-on-year, cycling a high comparison base over the previous year, which has grown 5.5%. After the 1.5% volume decline experienced during the third quarter, we saw a gradually recovering volume print month-over-month with October being affected by unfavorable weather conditions and a deceleration in overall economic activity. Our initiatives to expand our customer base, coupled with our revamped portfolio architecture in the sparkling and still beverage categories continued driving profitable positive results. For instance, by leveraging a growth mindset, process simplification and the use of big data analytics, we targeted existing white spaces to expand the customer base in Mexico by more than 150,000 new clients over the past 18 months. In the Colas category, Coke Zero continues outperforming, increasing double digits as compared to the previous year. Additionally, our initiatives to adjust our portfolio architecture supported our 4.8% growth in multi-serve one-way presentation year-on-year. In stills, an ambitious portfolio revamp led to 4.2% growth during the quarter, driven mainly by 67% growth in teas and 14% growth in both Powerade and Monster. Despite facing capacity constraints, our technical and supply chain team in Mexico produced more than 2 billion unit cases, moved more than 18 million pallets and covered more than 110 million kilometers. Notably, their efforts to alleviate capacity constraints resulted in 15 bottling plants in Mexico breaking production records this year. To give you a sense, over the past 2 years, improvements in bottling efficiency in Mexico resulted in a 14% increase in production, which would be the equivalent to the addition of 8 bottling lines. Moreover, improvements in warehouse efficiency and the opening of 4 new distribution centers increased our storage capacity by 50% compared with 2022. These improvements in efficiency, coupled with the implementation of dynamic routing, equal an investment of more than $290 million in capacity expansions. We are confident that these enhanced capabilities together with the additional capacity expansions, we plan for 2025 and beyond, ideally position our Mexico operation to capture its many growth opportunities. Moving on to Guatemala. Our volumes in Guatemala grew for the quarter, 7.5% year-on-year, driven mainly by our initiatives to grow the core business and to expand the customer base. As I mentioned during our previous call, Guatemalan consumers are looking for convenience and affordability, which coupled with our solid execution at the point of sale, has allowed us to become leaders in the Cola segment. Indeed, we have improved our competitive position by more than 15 percentage points of share of value in Colas since 2018. Moreover, we continue to focus on expanding our customer base. For instance, in 2024, we increased our total customer base by 12% year-on-year, which represents a 48% customer expansion as compared with 2018. As we enter the new year, we are confident in Guatemala's long-term opportunities. To capture them, during 2024, we expanded our production capacity in the country by 20% with two new production lines, one of them for returnable borrows and we expect to add 2 more lines in 2025. Additionally, we added 5,000 new pallet positions in warehouse capacity, a 12% increase as compared with 2023. Now let's move on to discuss our markets in South America. In Brazil, our volumes for the quarter grew 3.7% year-on-year. This growth was achieved despite the suspension of our plant in Porto Alegre and the unfavorable weather conditions in December, in which the major cities in our territories received 4x more rainfall than in the previous year. Notably, our results continue to be driven by healthy performance across our categories. For example, Coke Zero Sugar increased an outstanding 63% year-on-year. Indeed, this is the global market where Coke Zero is growing the most. Single-serve mix is another important growth and profitability driver. During the quarter, our single-serve mix expanded 2 percentage points to reach 26% in Brazil. In stills, Powerade and Monster brands grew 12% and 21%, respectively. Innovation has really taken a central stage in our industry as evidenced by 85 product launches in Brazil during 2024. Among other innovations, we launched a successful limited edition of Coca-Cola Zero, Oreo, the new Monster Peachy Keen Zero sugar and in the alcoholic ready-to-drink space, we launched Absolut Vodka and Sprite last November. During our previous call, I mentioned the initial rollout of our new sales force automation to Juntos+ advisors. Backed by advanced AI models, this tool enhances our sales force capabilities, improving key coverages and sales force effectiveness at the point of sale. During the quarter, we moved from pilot phase to a large-scale rollout. Now more than 40% of our sales force in Brazil is using Juntos+ advisors. Its initial results are already exceeding expectations, improving location accuracy and providing our sales force with real-time information during visits. Moreover, our AI-driven guided missions have resulted in increased SKUs per store and digital revenue per month. Finally, I want to recognize the efforts of our technical and supply chain team in Brazil. We're in the phase of the temporary closure of our Porto Alegre facility managed to surpass our Brazilian operations single year unit case production record. Thanks to their commitment, we expect to operate Porto Alegre at full capacity at the beginning of the second quarter positioning us for growth in 2025. Now in Colombia, we are working to ensure a winning portfolio in an industry that has been affected by the implementation of an excise tax since November 2023. During the fourth quarter, despite adverse weather conditions, our volumes improved sequentially, declining 0.3% year-on-year. This sequential improvement was driven by our team's efforts to provide affordability and revamp our multi-serve portfolio. As a result, our multi-serve volumes increased 2.2% year-on-year. Our team's focus on driving cost and expense efficiencies is generating profitability improvement, resulting in a 5% reduction in cost per unit case during the year. Moreover, we are strengthening our installed capacity by adding a new PET line in Barranquilla, which started operations this month. This new production line will alleviate supply chain pressure providing self-sufficiency to the coastal region while further reducing our freight costs to enhance profitability. Finally, our quarterly performance in Argentina. Although the environment remains complex, we are confident in a gradual sustained recovery. For instance, we are seeing encouraging signs from the recovery of the tradable and durable goods sectors, who are leading the way. Importantly, macro indicators such as monthly inflation continue improving and are now close to piercing 2%, the lowest reading in almost 5 years. During the year, we implemented the right strategy to navigate the crisis and emerge stronger focusing on affordability while maintaining our customer base and household penetration. As a result, our fourth quarter volumes increased 2.9% year-on-year. At the same time, we leveraged cost and expense controls to reduce our costs and expenses by 6% year-on-year, maintaining a flexible and lean cost structure while accelerating digitalization. To continue this path during 2025, we expect to fully roll out version 4.0 of Juntos+ and our loyalty program. We are confident in our capabilities to capitalize on the expected turnaround in Argentina, enhancing our affordability initiatives, boosting single-serve and consolidating our market leadership. Now let me switch gears to provide some initial comments as we look ahead to 2025. We are convinced that we have the right strategy and a highly motivated team to execute our plans. The implementation of our long-term sustainable growth model is underway, and we expect to continue following the same strategic playbook as in 2024. We're leveraging the many learnings of the year to fine-tune our plants, making Coca-Cola FEMSA a highly adaptive organization. For 2025, our main pillars are: first, to continue growing our core business by leveraging our big bets, accelerating Coke No Sugar, improving our competitive position in flavors and developing profitable noncarbonated beverages. Second, we will continue taking Juntos+ to the next level, leveraging our AI capabilities and rolling out Juntos+ advisor in Mexico and Brazil. And third, to continue fostering a customer-centric and psychologically safe culture for Coca-Cola FEMSA, consolidating our research purpose, vision and principles across our operations. We are fortunate that we are participating in a vibrant beverage industry within a growing region. We are confident that Coca-Cola FEMSA is ideally positioned to capture the many growth opportunities that are out there in 2025 and beyond. With that, I will hand the call over to Jerry.
Gerardo Celaya: Thank you, Ian.  Good morning, everyone. Summarizing our division's results for the fourth quarter. In Mexico and Central America, volumes increased 1.5% to reach 589.6 million unit cases driven by volume growth across all territories. Revenue increased 10.4% to MXN 41.5 billion, driven mainly by our revenue management initiatives and the favorable currency translation that was driven by the depreciation of the Mexican peso. On a currency-neutral basis, revenues increased 7.2%. Gross profit increased 10% to reach MXN 20.3 billion, resulting in a gross margin of 48.8%, a slight contraction of 20 basis points year-on-year. This margin performance was driven mainly by higher freight costs, inventory write-offs and unfavorable mix effects that were partially offset by our top line growth, hedging strategies and improving sweetener and packaging costs. Operating income increased 23.7% to MXN 6.9 billion, and our operating margin expanded 180 basis points to 16.7%. This expansion was driven mainly by cost and expense efficiencies, such as marketing and the recognition of insurance claim payments. On the other hand, these effects were partially offset by fixed asset write-offs, onetime expenses related to hurricanes, higher expenses such as maintenance, freight and operating foreign exchange loss. The net effect of extraordinary expenses related to hurricanes and insurance claim payments is an expense of MXN 399 million. Finally, our adjusted EBITDA in Mexico and Central America grew 23.7%, leading to a 240 basis point margin expansion to reach 22.9%. Moving on to the South America division. Volumes increased 3% to 489.5 million unit cases. This increase was driven by the growth achieved in Brazil, Argentina and Uruguay that was partially offset by a slight volume decline in Colombia. Our revenues in South America increased 19.4% to MXN 33.9 billion, driven mainly by revenue management initiatives and favorable mix. These effects were partially offset by unfavorable currency translation effects into Mexican pesos, driven by the depreciation of the Argentine peso and the Brazilian real. On a currency neutral basis, total revenues in South America increased 21%. Gross profit in South America increased 28.1%, leading to a margin expansion of 300 basis points to 45.4%. This margin expansion was driven mainly by top line growth, operating leverage, declining packaging costs and favorable effect of hedging initiatives. These effects were partially offset by purchases of finished product related to the capacity constraints in the south of Brazil due to the floods and currency depreciation from most of our operating currencies as compared to the U.S.  dollar. Operating income for the division increased 26.9% to MXN 5.1 billion and operating margin expanded by 80 basis points to 15.1%.  This margin expansion was driven mainly by operating leverage, coupled with cost and expense controls across our operations. These effects were partially offset by higher fixed costs and expenses such as freight, labor and an operating foreign exchange loss. Finally, we recognized in South America, an extraordinary expense related to fixed asset write-offs and expenses related to the floods in the south of Brazil that was partially offset by insurance claim payments. The net effect in the quarter related to the Porto Alegre event is an expense of MXN 331 million. Finally, adjusted EBITDA in South America increased 20.7% to MXN 6.6 billion, and adjusted EBITDA margin expanded 20 basis points to 19.3%. Shifting gears to our comprehensive financial results which recorded an expense of MXN 980 million as compared to an expense of MXN 1.3 billion during the same period of the previous year.  This 23.7% reduction was driven mainly by a foreign exchange gain as compared to a loss in the previous year, which was driven by the quarterly depreciation of the Mexican peso and the Brazilian real as applied to our U.S. dollar-denominated cash position, and the higher gain in inflationary subsidiaries. These effects were partially offset by a loss in financial instruments as compared with a gain during the same period of the previous year. Our interest expense net remained flat as higher interest expense was offset by higher interest income related to increases in interest rates. Moving on to our CapEx investments. As we have discussed in previous calls, one of our six strategic pillars is to remove infrastructure bottlenecks and digitize the enterprise. To this end, we entered a multiyear program to increase CapEx investments to install the unnecessary capacity to capture the many growth opportunities that lie ahead of us. Summarizing our progress during the year. In 2024, we installed seven bottling lines for a 3.5% total capacity increase year-on-year. Three of these lines started up in Mexico, increasing our capacity in the country by 4%. One new bottling line in Brazil increased our capacity by 2%, excluding the effect of Porto Alegre. We also installed one returnable glass bottle line in Colombia that adds 4% capacity and two lines in Guatemala that add 20% to the installed capacity. In 2025, we expect to install nine bottling lines, one in Mexico, two in Guatemala, one in Costa Rica, one in Colombia and four in Brazil. Regarding warehouse capacity, during 2024, we inaugurated 11 distribution centers, which represent 5% additional capacity as compared with 2023. Finally, on savings initiatives, a year ago, we shared a target of $60 million in cost to make, cost to serve and primary freight savings for 2024. We are pleased to report that our technical and supply chain team exceeded this savings commitment by $11.5 million and has identified further sources of efficiency and savings for 2025 committing to more than $90 million in savings. Thank you all for joining us on today's call. Operator, we are ready to open the call to take questions.
Operator: [Operator Instructions] Our first question comes from Alejandro Fuchs with Itau.
Alejandro Fuchs: Congratulations on another set of very strong results. Two quick ones on my side. First one for Ian in Mexico, I'm trying to see maybe you can discuss what are your expectations in terms of volumes into 2025 on the back of slower macro dynamics maybe in the country? And the second one is very quickly for Gerardo. I wanted to see if you can tell us with both negative and positive one-offs, what is the impact to the EBITDA of the company during the quarter?
Ian Marcel Craig García: Sorry, we were on mute. In the case of Mexico, we're expecting mid-single-digit volumes for Mexico. I think during the year, there will be differences between the quarters. But overall, we should have a mid-single-digit volume year for Mexico.
Jorge Alejandro Pereda: I think, Alejandro, this is Jorge. It's definitely -- the outlook of Mexico, as Ian mentioned, this is for the full year, but we have to recognize that we're going to face tougher comps in the first half of the year, right? The second half of the year, probably we're going to see easier comps. We have seen during 2024, especially in the second half, a moderation in the pace. We continue to see effects that affected 2024 in the form of tough weather in the second half. We mentioned the hurricanes. We also have to consider on availability that affected us in Mexico in 2024. However, as Ian and Jerry mentioned, we added three lines. So that's going to -- it's going to help us. But when we look at the consumer, we don't think that it's going to be a straight line, right? I think we're seeing mixed signals. We're seeing that also between the fourth quarter, for example, to give you a sense, during the fourth quarter, October was very tough. But then we started to see a gradual sequential improvement with November going back to positive volumes and then December even stronger than November. So we know that it's not going to be a straight line. We are seeing the projections just this week Banco de Mexico lowered the expectation for GDP. But we have to focus on the things that we can control. And this mid-single-digit expectation that Ian mentioned, is based on a plan that the team in Mexico is implementing. We have to go out for -- looking for those pockets of opportunity. We have pockets of opportunity to recover share. We have been mentioning that, and the capacity constraints limited our capacity to recover share in Mexico during 2024. So we have to go out there in 2025 to recover that. Coca-Cola Zero Sugar also started accelerating in 2024 in the second half of the year. We're going to continue focusing on that in 2025. And we have an opportunity in flavors as well. So I think that overall, the Mexico team has a very robust plan to go out for this expectation, but I wanted to mention that we know that it's -- we're going to have a mixed signals from the consumer. It's not going to be a straight line, and we have to be very mindful of that as we progress during the year.
Ian Marcel Craig García: When you think about it, you have a lower GDP projection on one side. So it's not going to be the same bonanza that we had in the first 6 months of preelection. So you're not going to see that on one side. But on the other hand, I think we're much better prepared to go into high season this year. And we had about 40 million unit cases of unavailability just in Mexico last year. So getting into high season, much better prepared this year, having that comp. So there are these offsets. And like Jorge mentioned, we will have finished all the OBPPC realignment for Colas Multiservice. We had 3 large regions left.  We finished that.  We have finished all of the flavors multi-serve price alignment in one single price point. We have finished that as well. And we have finally, I believe, cracked the code on Coke Zero for Mexico, which had been our laggard and which now is really accelerating, and we have a good plan. So there will be, on the one hand, lower GDP. But on the other hand, we have favorable comps in terms of unavailability and also the implementation of the pending regions for our full -- both flavors revamp and the Colas OBPPC reset.
Gerardo Celaya: And with respect to your second question, Alejandro, mainly related to the two weather events that we had during 2024, both the hurricane in Mexico and the floods in Brazil. We had a net effect -- a net expense that flowed through EBITDA for the quarter of MXN 206 million. And for the full year, a net effect, which was a positive effect between the expenses and the insurance claim collections of MXN 56 million.
Operator: Our next question comes from Ben Theurer Ben with Barclays.
Benjamin Theurer: Congrats on a very strong finish. Just wanted to pick up and maybe get a little more -- go a little more into detail as it relates to some of your digital initiatives, Juntos+ and Plus Premia. As you kind of like roll this out, can you share with us maybe a few anecdotal stories how that has helped maybe improve not only your relationship with your ultimately end customers and at the point of sale, but also things like inventory management, et cetera? And what you expect in terms of like the growth rates for this to be in terms of additional users being added to the system throughout the year? That would be my main question I have for you this morning.
Ian Marcel Craig García: Sure.  Thank you, Ben.  Just think of it this way. When we look at Juntos+, we've grown about 20% our monthly active purchasers. When you think of those monthly active purchasers, on controlled cautious inference analysis that our analytics teams do, they bring around 2% of incremental revenue, those clients. So it's a big uplift. And that's on the Juntos+ app 4.2. I think for us, we really want to highlight as well the potential from Juntos+ advisor too. I mean, what we have seen in Brazil, for example, like you mentioned just anecdotal evidence, but these are hard numbers. Our geo efficiency rises 4 points, like from around 92% to 96%. What does that mean? We know that the salesman is there at the client completing the visit. And that's a big, big uplift. When we look at our combined coverages, which are directly -- which is probably the single indicator that most directly translates to increased share when you have combined coverages, that increases almost 4 percentage points, from around 46% to 50%. That's huge, huge numbers. Our guided admissions improved almost 2.6%. So I think the rollout of Juntos+ advisor is also going to be big, and we're going to get that in our two largest markets completely rolled out this year. So I don't know if you want to complement Jorge with -- or Jerry?
Gerardo Celaya: If I may add, the one piece that Ian didn't mention, which is Premia, Juntos Plus, which is our loyalty plan. This has proven to be a very successful tool, both for recruitment as well as for execution capabilities. And the reason for its high success has been mainly the high perception of value that our customers have towards the loyalty points that are generated. The ease of conversion and the quickness with which our customers can convert those points into value that registers in their respective cash registers is very high. To give you a sense, and Ian mentioned it during the prepared remarks, but we quadrupled the size of enrolled customers in Premia Juntos+. And the other data that I think wasn't mentioned, 72% of those customers are redeeming actively. So very high redemption rate. And our plans for 2025 are to increase that number of enrolled customers to 1.3 million and increase also the redemption rate to a number as high as 85%, that for me is a very interesting upside that we are still exploring the whole potential that we can get from that loyalty program and that we perceive as a very important competitive advantage to any other platform in the market.
Ian Marcel Craig García: There's one -- that's a great question, Jerry.  Sorry.  There's one other aspect in that we haven't talked about much, but we launched also in Brazil, Juntos+ as a service for the first time. And what that means is we are now offering the Juntos+ app to our distributors, so -- to our distributors' clients. So that has a potential for Coke FEMSA of another 137,000 incremental clients. And so far, it's going very well, and it's a very interesting potential to us that all of our third-party distributors can now offer to their clients the app. This also has the sidebar, you know that it can now be if any other bottle would be interested rolled out to other bottlers as well. So it's really interesting for us to try and explore how this works for our third-party distributors.
Operator: Our next question is with Renata Cabral with Citi group.
Renata Fonseca Cabral Sturani: My questions are about the Brazilian operations. First, regarding Porto Alegre plant, I would like to know if you could give us some color on how it's evolving the resume of the operations there? And my second question is regarding the potential financial impact regarding logistics in the fourth quarter of the year. As we know, it's a quarter -- a really important quarter, especially in Brazil because of the festivities. And yes, those would be my questions about Brazilian operations.
Ian Marcel Craig García: Renata, so the team is working very hard on putting the Porto Alegre plant back on line. Right now, we are around 30% of the use of capacity. And the new line, the large PET line is right now already in mechanical test, finishing microbiology. And by March, that line, only that line represented 40% of that plant. So by the end of March, we should be at 70% of the Porto Alegre plant. So it's going very well. And like we mentioned in our prepared remarks, by April, it should be fully back on line. Or even by the end of March, we should be around 70%. So it's going pretty accelerated on the restart of the plant. The progress on the walls, the preparation for any other flood risk, that's going to take more time. That's going to take at least 12 to 18 months, and it's already underway with a CapEx of $15 million, including pumps, walls, levies, but that takes a longer time. But the plant should be around 70% of where it was by the end of March, okay?
Jorge Alejandro Pereda: And Renata, if you could please repeat the second part of your question because it broke up a little bit. If you could repeat, please?
Renata Fonseca Cabral Sturani: Yes, absolutely.  My second question is regarding the additional logistical costs that you eventually had in the fourth quarter to source the product from other regions or maybe other bottlers. If you have the amount that you had in the fourth quarter would be really helpful.
Ian Marcel Craig García: I'll let Jerry go into that detail, but I would say all of the one-offs were around MXN 730 million impact, all of the one-offs, that includes Mexico and Brazil for the quarter. For the year, they were around MXN 1.6 billion. So that's sort of part of what I was commenting with Alejandro a favorable sort of one-off comps that we will have versus last year in Brazil, they're quite relevant.
Gerardo Celaya: And the details for Brazil on those numbers, Renata, mainly relating to -- yes, the cost of imported products, the write-off of assets as well as inventories and increased expenses mostly related to logistics and cleaning of the site for the quarter was MXN 331 million. A portion of those expenses is virtual, which is the write-off of assets and inventories, but the total impact was MXN 331 million. That was for the quarter. For the full year for Brazil, the impact was MXN 889 million on those same concepts.
Ian Marcel Craig García: So of the numbers I mentioned, Renata, which were total cost, Brazil is about half.
Jorge Alejandro Pereda: That's right.  And maybe, Renata, just one point that I would add. These figures that Jerry mentioned, those are the impacts net of the recovery of insurance, just to point that out.
Operator: Our next question is from Felipe Ucros from Scotiabank.
Felipe Ucros Nunez: I guess mine has to do a little bit with capacity. And you've been a little bit constrained on production in Mexico and Brazil, obviously, for different reasons. But I guess my question applies for both regions in any case. As you ramp up capacity, and this has been happening throughout 2024 and will continue, are you finding it easy to recapture the share that perhaps you sacrificed due to the constraints that you've had? And also very short, if you can give us an update on the FX hedging for 2025, that would be great.
Ian Marcel Craig García: Felipe, the short answer is yes. There are share opportunities relating to share. I would say that in Mexico, the share opportunity is even larger because when we set up our moonshot plant together with Coke and really aligned the 360-degree plan, we grew faster than expected, and we're one year ahead of that plan. So the cases that we have lost due to capacity, those MXN 40 million in Mexico, for example, there -- and in the sense of Brazil, it was more relating to floods really rather than anything else. These are really last 1.5 years issues. In Mexico, the opportunity is larger. We have almost 5 points of share that we can get after that we had lost at least since 2014. So the way we've set up our long-term -- sustainable long-term growth model is to go back to those points. That's why we have price as a solver of our equation. We're always looking to increase our share of value, even if it's 10 basis points, but to have that increase every year and price for us is a solver. So I would say the opportunity in Mexico for this year is to get better prepared to high season, we have more trucks. We have more distribution centers. But in terms of manufacturing capacity in Mexico, we would only be ready until 2026 because the line that we have for [indiscernible] comes online only at the fourth quarter. So we don't have increased manufacturing capacity in Mexico. That's why we're going on with a more robust inventory plan for the high season. That's the case of Mexico. The case of Brazil, the capacity is going to be solved by the end of this year, the large capacity gap. So it's a bit of a different story. Jerry, do you want to go into the other?
Gerardo Celaya: Regarding our hedge position, Felipe, I'll start talking about the FX hedges, and then I'll dive a little deeper into commodity prices for raw materials. Regarding FX, we're basically, for all of our operations with the exception of Colombia, where we have a higher percentage of our 2025 requirements hedged, we are at around 35% of our total FX exposure hedged for the year. As you know, we have this 12-month rolling methodology, where as time progresses, the months that get closer to the present have a higher percent of the exposure hedged. In the case of Colombia, as I mentioned, we're at 70% of our exposure for the year hedged. And regarding commodities prices or raw materials, for Mexico, our PET requirements are hedged at a level of 40% for 2025. Also Mexico, our aluminum requirements at 50% of our requirements as well as Brazil, same level, 50% aluminum. For the case of sugar in Brazil, we're 90% hedged for the year, 83% in sugar for Uruguay and 94% hedged in Mexico for HFCS. For the case of Colombia, aluminum at 40% for our requirements of the year and sugar, 95% of our requirements for the year. And finally, for Guatemala, 30% of our requirements of aluminum and an important exposure in Guatemala, which is diesel is hedged at 40% of our 2025 requirements.
Felipe Ucros Nunez: Very clear.  If I can do a very small follow-up. I thought it was interesting that you mentioned that you finally cracked the plan for Coke Zero in Mexico. Just wondering if you can give us some details on how you did it because it seemed to be the region where you're having a lot of trouble turning the consumer away from sugar into zero.
Ian Marcel Craig García: Yes.  There are several aspects to it. I think we were almost trying to get a little too clever vis-a-vis competitors suffering in trying to -- I wouldn't say much, but to have the right price architecture, but with different packages, we adjusted to compete head on. So we have been losing a couple of points in Cola no sugar, and we adjusted to have the right price platform, but with the same package. So there's no confusion for the consumer. It's a pretty clear what you get price value for the same package, plus what Coke Company does like no other, which are the campaigns, the influencers. So I think once we adjusted that, which we didn't have, we were trying to be a bit too clever, and I don't think it was translating to the consumers, it's really taking off. So I think the momentum is there. We've seen what happens in countries like Brazil once you get the ball rolling, and it's looking pretty good. And I'm very excited also about what's happening for this year. I mean, the properties that we're going to be exploiting. I'm not going to spoil -- do the spoiler alert on the asset, but the asset that we're going to be using this year is phenomenal. The soccer platform is strong as well. The concert platforms, the focus that we're doing on share visual inventory in execution, the calendar -- the tactical calendars. So overall, I have no doubt that Coke Zero is going to be a very pleasant result for this year in Mexico.  Jerry?
Gerardo Celaya: And just to add another component for the success of Coke Zero is coverage and tying it to a previous question that we had, which is how we're using our digital capabilities in the business and using the information that we get, both from our Juntos+ platform, as well as from Juntos+ Advisor. We have an increase in coverage in Coke Zero in all of our operations, including Mexico, which provides certainly an uplift in performance.
Ian Marcel Craig García: It's very, very low mix still of Coke no sugar. So there's no reason why we can't grow it double digits like we did in Brazil and Argentina. So there's plenty of upside there.
Operator: Our next question is from Rodrigo Alcantara with UBS.
Rodrigo Alcantara: Two quick ones, if I may. The first one would be for Ian. Everyone is very cautious, let's say, pessimistic on the outlook for the economy in Brazil. But at the same time, it has been one of your best performing regions, right? So I mean, you live in Brazil, right, for a couple of years. So just curious to hear your thoughts on the income elasticity or the price elasticity of the Coke portfolio that you see there, how defensive it could prove if this deceleration or when this deceleration ultimately happens in Brazil? That would be my question for you. And for Jerry, I would like to speak a bit about cash generation, right? Maybe if you can explain us, there was a small mismatch between the reported CapEx of $29 billion and the footnotes of $25 billion in the press release. Just curious if you can elaborate on what's the explanation of that about CapEx. And staying on cash flow, also looking at the working capital, it looked like at the inventory line, the cash outflow was much more higher than a year ago. So if you could elaborate on the cash flow, Jerry, it would be very helpful. Those would be my two questions.
Ian Marcel Craig García: In the case of Brazil, you also see it's our second largest market and projections show still growth in GDP, 1.7%, but it's lower than the 3.5% clip that we had in '24. So it's still growth, but at a lower clip. That being said, I mean, we are still having to purchase product because our Porto Alegre plant, like I mentioned before to Renata is around 30%. So I think to us, Brazil, while overall, it's going to be a lower GDP growth year than last year. In the case of Coke FEMSA we have -- I wouldn't say easy comps, but we have very favorable comps starting May where we don't have -- we don't expect to have, we hope it was a once in a lifetime thing what we saw in Porto Alegre, which really complicated things for us. So Brazil, I think you're right in the sense that it's going to be slower growth of the country as a whole. However, still growth. In the case of Coke FEMSA, we have the good "comparison" base starting in May.  Does that help?
Rodrigo Alcantara: Yes, that helps, would be the other one on the cash flow.
Jorge Alejandro Pereda: Rodrigo, first before passing it on to Jerry for the cash flow, just the clarification regarding the CapEx, that's a good take because the CapEx that you see below the chart, basically, the one that you see they are below the EBITDA, that CapEx is the cash flow, but also includes CapEx that has already, for example, been invoiced but it's not necessarily paid. So it's not CapEx, cash flow, let's say. And the other one that you see in the footnote that is the CapEx effectively paid. So that's the cash flow. And that's the one that, for example, Ian referred to during the prepared remarks, that's the 9% of revenues. The other ones are commitments that were committed during 2024. The difference is commitments that will be paid later down the road in 2025. I hope that clarifies that point, Rodrigo.
Gerardo Celaya: Regarding the effect on working capital, Rodrigo and related to a conversation that we've been having throughout the year, which is our capacity constraints. We had an important extraordinary benefit in cash flow and working capital due to the consumption of reserve inventories to address high demand during the peak month of the year in consumption, provided a benefit for us in working capital days as well as accounts payable related to projects that are ongoing, mainly the migration of our ERP to the S/4HANA cloud-based system that generated also an increase in accounts payable during the year, given that it's a multiyear project.
Operator: Our next question comes from Alvaro Garcia with BTG.
Alvaro Garcia: A question on operating leverage in the context of your comments on freight. I wanted to double click on sort of that new target that you have for freight savings. What region is that specifically? And we are particularly impressed with operating leverage in Mexico. So any comments on maybe how digital is playing a role in that or especially given higher labor expenses in Mexico. What's really driving that operating leverage in Mexico?
Ian Marcel Craig García: Alvaro, I'll let Jerry get into this question, but I would say, the big, big uplift that we're going to see in operating leverage should be in Mexico, should be in 2026 when we have more manufacturing capacity because still we have not enough capacity. So we will be renting capacity in third parties for more inventory having to pay some extra trucks. So I think in Mexico, we are seeing operating leverage, but you'll see a lot more in 2026. And when we have the new Southeast plant, then you'll see the node as they should be because we are still sending product down to the South. In the case of Brazil, like I mentioned previously, by the end of this year, we should be where we need to be.
Gerardo Celaya: With regards to logistics savings that we have seen, I would say, that excluding the FX, the negative impacts that we had given the weather-related incidents in Mexico and Brazil. Overall, I could say that we've seen improvements given that we're deploying CapEx to capacity, both manufacturing and distribution. So that means that we're getting the production of the products closer to where the demand points are. But this has been especially true for our operation in Colombia capacity and distribution capacity closer to the coast. As you know, for a period of time, we had concentrated production in one mega plant in Colombia and close to the capital in Bogota. With the growth of the market and getting that growth, a lot of that growth coming from the coastal area in Colombia, we have deployed a lot of capacity to that region that has been growing the most. This has provided a significant uplift in profitability by reducing logistics cost and expense in that operation.
Alvaro Garcia: Great.  And the $90 million first you mentioned for this year in terms of new savings, is that mainly Mexico, Brazil? Any color on sort of where that's coming from?
Gerardo Celaya: It's coming from all of our operations. I think the number that I mentioned was $90 million that we have identified for supply chain for this year, and it's coming from both cost to make as well as cost to serve and specific logistics in T1 and portfolio -- optimization of portfolios, and it's all over our operations, obviously, given the proportional importance of Mexico and Brazil, those two account for most of those projected savings for the year. And to give you a sense, those $90 million, I have the precise numbers, about $50 million coming from Mexico, about $28 million coming from Brazil -- from LatAm, I mean, and about $18 million coming from Brazil.
Operator: Our next question comes from Carlos Laboy with HSBC.
Carlos Alberto Laboy: I wanted to go at the CapEx question a little bit differently. Can you speak to the level of confidence you have that your incremental CapEx is the right level of CapEx. In other words, there's not too much or too little for the sort of volume growth that you can generate over the next 3 years or so? And maybe for Jerry, how might the positive return on asset and ROIC enhancement trajectory that you're on, move over the next 3 years with this CapEx? It's a very long way of also asking, are you hitting a return on asset and ROIC ceiling here? Or do you think it can grow further?
Ian Marcel Craig García: Carlos, just to have a sense, the ROIC that we had for this year improved, I don't know, from 14% to 15% more or less, Jorge? So I think -- let me just put it this way. We use -- the normal practice, Carlos, that we have or that we think is the appropriate level of capacity slack is around 10%. This level of CapEx of $1.5 billion does not get us to that 10% slack, okay? We're still below that 10% slack that we need. So that's why you're seeing, even though we have had 2 years very high CapEx, our ROIC over the last few years go from 12.7% to 14.2% to now 15.1%. We do expect, for example, flattish ROIC for this year, but it's at the highest level that we've had. So the CapEx, when we look at the ROIC per country, there are some countries that have very, very high ROIC. They also happen to be probably the ones we were putting a lot of CapEx in there. There are other countries that have lower ROIC such as Colombia, but the CapEx immediately pays for itself even without higher volumes. It just pays for itself on freight because we are adjusting the nodes that we need and it pays for itself on leasing of warehousing. So I'm very confident that for this next year, we'll still have the same level of ROIC, notwithstanding that we're going to do record CapEx cuts.
Gerardo Celaya: And adding to that, and this is our long-range projection, we expect given that we're basically catching up with unserved demand, as you've seen with the numbers that we've had out of stocks last year and this year. So this allows us for the deployment of this CapEx, especially the early portion of the deployment of this CapEx to get -- those lines get filled up pretty quickly. And our long-range projection does account for improvement still in ROIC as we move forward.
Ian Marcel Craig García: Yes.  We've had 40 million out of stocks in Mexico. 12 million out of stocks in Brazil, 18 million empty cases in Brazil, which we had to freight from other bottlers or import from ourselves, but in essence, 30 million in Brazil. So we do need that capacity, Carlos. And I think we're -- we can always adjust longer term if we think demand is not panning out to be what it is. However, for the short term, I mean, even if there were to come a slowdown, I think that would allow us to get to 10% less, that would be a good thing. We're not there yet. So for this year, for this $1.5 billion is pretty necessary, and we'll keep the ROIC at the same high levels. That's what we expect.
Carlos Alberto Laboy: And cleaning up the out of stocks probably helps you with your client relationships, too, which is another positive.
Ian Marcel Craig García: Yes, yes.  I would say when we look at our customer service metrics, we had improvements this year. But you can clearly map that when we had these issues, they have an impact, like you mentioned. Overall, in the year, we improved but we do see those impacts when you have the higher out of stocks, you're correct.
Operator: Our next question is from [indiscernible] with Morgan Stanley.
Unknown Analyst: I would like to explore a bit more the Brazil beer operations. So if you could talk a bit on how are you seeing the competitive trends in the industry and how attractive this market is right now for you? That would be great. And also, we saw some news about the Coke system, partnering with Serpa in Brazil, for instance. That should be really small for you right now. But on that line, if you could explore a bit more on how is your head going forward in terms of additional distribution and production partnerships and any other additions to the beer portfolio that would be helpful as well.
Ian Marcel Craig García: I think like you mentioned, the Serpa piece, while it's very interesting because it has very good brand attributes in the premium category in Brazil.  It's very small.  It has a very small base to start off. And to us, it's an interesting addition because we want to keep winning in prestige and premium clients, and that will help us there. But it's not something -- it's not a mainstream beer, it's not a large volume offering that's out there. In the case of Brazil beer, we see a lot of intensity -- a lot of competitive intensity. You get the numbers from both Heineken and ABI. With the portfolio that we have, I think the team in Brazil has done a phenomenal job with the portfolio that we have. So what we're looking with Serpa and the things that we have in our pipeline is to be complementing that portfolio so we can have a competitive portfolio in Brazil. I would say that would be my answer on that. Jorge, do you want to comment?
Jorge Alejandro Pereda: Yes.  Maybe just to follow up on Serpa because a very common question regarding beer Brazil is whether Coca-Cola FEMSA would look to invest into producing beer. For us, the strategic intent is not to get into the beer production. But as Ian mentioned, we are very interested in the distribution part of the business. Beer makes a lot of sense for us to continue strengthening the portfolio, and we are working with the partners, with Heineken, with Estrella Galicia. We have Tereopolis, and now we will have Serpa that complements the portfolio as we look to continue building it going forward.
Operator: Our next question is from Ulises Argote with Santander.
Ulises Argote Bolio: Just one quick one here, and this comes more in the context of your kind of current leverage being below the 0.7x as you're preparing the release. But any room or anything that we could expect in the dividend front or maybe to start on the buybacks. I don't know, maybe if you can squeeze some comments on your views around M&A given the current situation there on the low leverage for the company.
Ian Marcel Craig García: Thank you, Ulises.  So this has been a topic that certainly we've been discussing for the past few quarters. We understand, and we've been clear that we have an inefficient capital structure. Our net leverage, as you pointed out, is a little below 0.8x. We are consuming, as we promised and discussed during this call, our excess cash position that's helping out with increasing our net leverage by reducing that excess cash position. We believe that this is -- given our ROIC performance, this is the best use for our excess cash. But as we project for a longer period of time, even with this sustained capacity creation and investing in the growth of the business, our capital structure issue continues to be an issue that is not optimum. So we are reviewing together with FEMSA, what our course of action will be for this year. and we will provide further details as the year progresses and that analysis moves forward.
Ulises Argote Bolio: Perfect.  Very clear.  And anything on M&A? Or is the appetite still there to kind of grow inorganically? Or do you think that has taken like a backseat in terms of your less priorities?
Ian Marcel Craig García: No.  I mean, the appetite is there. We would like to grow inorganically. The conversations for anyone that has followed the system as yourself for a while are multiyear conversations, and it really takes an alignment of probably succession issues monthly or fragmentation issues among controlling shareholders to arrive to the right moment to be able to pull the trigger. I would say our relationships with our peer bottlers in the system are excellent. We are well positioned. It's very difficult to assess the timing of any potential M&A initiative, but it is, one of our six strategic pillars, strategic inorganic growth. So the answer is yes, but there is no guidance on probability of success or timing on that.
Operator: And our next question is from [indiscernible] with JPMorgan.
Unknown Analyst: This is [indiscernible] from JPMorgan. Can you hear me well?
Ian Marcel Craig García: Yes.
Unknown Analyst: Perfect.  I just wanted -- if you could help me put the comment on the outlook for volumes in Mexico into context. You said mid-single-digit volume growth, but you also said 40 million of unavailability volumes last year, which is around 8% of the volumes. So I'm trying to understand if there is so much on sold volume and you're increasing your inventory capacity this year, why is the guidance at only mid-single digits? Is there something I'm missing there? If there is so much volume that you could be selling just to -- just on the under capacity, let's say.
Ian Marcel Craig García: Thank you for the question. I think it's very important to clarify because the 40 million unit cases of unavailability, that's not for the quarter, that's a full year figure, okay? So it's -- I know that you're thinking maybe for the quarter and then we could project something additional for growth in terms of volume for Mexico. But that would not be the case, okay? So I think -- thanks for the question because that's good -- a good point to clarify. The number, 40 million unit cases, it's for the full year, okay? It's what we faced basically of unavailability during the 12 months.
Unknown Analyst: No, no, if you could also -- let me -- help me understand, with the efforts that you are doing on the inventory side because you mentioned that manufacturing capacity will not come until 2026. But with the things that you are doing today that can help fulfill better this on availability. How should we think about that on availability with the incremental capacity that you have today? So those 40 million, how will they improve in 2025 with the efforts that you are doing today?
Ian Marcel Craig García: That gets you to that mid-single-digit guidance that we are giving. So like I mentioned, it's a lower GDP projection. So you'll see -- you won't see the pre-election spending that's out there, and that goes against this year's volumes performance, but at the same time, we're getting into high season, much better prepared than last year. So like if you do those numbers, those 40 million are around 2% to about 2 billion in Mexico. So that's where we get to the combination to give that guideline -- that guidance, not our guidance, sorry to give that sort of estimate.
Jorge Alejandro Pereda: And [indiscernible] additionally and relating to a question that was presented by Rodrigo, regarding inventories and working capital in 2024. I mentioned that we consumed our safety inventories to try to reduce as much as possible that unserved demand that we faced during 2024. So now not only we have to address the issue of regaining as much as we can of that unserved demand, those out of stocks, but we also have to replenish those safety inventories during the year. So that will also continue to be a challenge. We have the double impact. We have the benefit of having the three new lines that came online last year plus line that is coming online this year. That will certainly help together with all of the efficiencies in planning and processes that the supply chain team has made but it's still not an easy challenge to face because we have those two effects combined.
Operator: Thank you very much. As we have no further questions in the queue, we will turn the call back over to Mr. Collazo for any closing remarks.
Jorge Alejandro Pereda: Well, thank you very much, everyone, for your interest in Coca-Cola FEMSA and for joining us on today's call. We look forward to meeting with you in person soon, I hope. And in the meantime, myself and the Investor Relations team, we are available to answer any of your remaining questions. Have a great day and a weekend. Thank you.
Operator: Thank you very much. That does conclude today's conference. You may now disconnect.